Operator: Ladies and gentlemen, thank you for standing by and welcome to the JOYY Inc.'s Fourth Quarter and Full year 2020 Earnings Call. At this time, all participants are in a listen-only mode. After the management's prepared remarks, there will be a question-and-answer session. I'd now like to hand the conference over to your host today, Ms. Jane Xie, the company's Senior Manager of Investor Relations. Please go ahead, Jane.
Jane Xie: Thank you, operator. Good morning and good evening everyone. Welcome to JOYY's fourth quarter and full year 2020 earnings conference call. Joining us today are Mr. David Xueling Li, Chairman and CEO of JOYY; our CFO, Mr. Bing Jin and COO, Ms. Ting Li. For today's call, management will first provide a review of the quarter and then we will conduct a Q&A section. The fourth quarter 2020 financial results and webcast of this conference call are available at ir.joyy.sg. A replay of this call will also be available on our website in a few hours. Before we continue, I refer you to our Safe Harbor statement in our earnings press release, which applies to this call as we will make forward-looking statements. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in renminbi. I will now turn the call over to our Chairman and CEO, Mr. David Xueling Li. Please go ahead, sir.
David Xueling Li: [Foreign Language] Hello everyone and welcome to our fourth quarter of 2020 earnings conference today. 2020 marks a [technical difficulty] develop, and capitalize on a number of growth initiatives, including YY Live, Huya, Bigo Live, Likee, Hago, and more. Today, excluding YY Live, JOYY serves over 350 million users worldwide, through a diverse portfolio of online entertainment products in live streaming, short-form video, casual games, instant messaging, and audio based social media. After nearly five years of development. Our overseas business, Bigo has already generated larger revenue than YY Live in 2020. Our track record of success has validated not only our long-term growth strategy, but also our unique capability in leading continuous innovation and our commitment to generate impressive ROI for shareholders. Going forward, we will remain focused on filling our live streaming and show from video growth engines. Accelerating our overseas expansion, including JOYY into our inclusively, vibrant, diverse and engaging social entertainment ecosystem. We firmly believe that Bigo Live has the potential to create at least four times the scale of YY Live in terms of revenue. We also foresee great monetization potential for Likee. As it enjoy substantial competitive advantage in low-entry barrier for user content production, high user engagement and interactivity and intrinsic social features. We plan to realize the potential of both platforms through a combination of global footprints and localized operations. To further localize our product offerings and business operations, we will further strengthen our talent team with technology expertise, global vision and local knowledge. As of December 2020, over 25% of Bigo staff were hired locally. Armed with local language, cultural backgrounds and consumer insights, our employees are able to tailor our products to the unique user preferences in each target market, and thus expand our local user base. Now turning to our quarterly performance. As we prepare our next phase of growth in the post-pandemic world, we continue to witness a rising demand for online entertainment and socialization as evidenced by our solid financial and operational results in the fourth quarter. Bigo's revenue increased by 87.9% year-over-year to RMB 3.4 billion in the fourth quarter, primarily driven by continued user base growth and improved monetization capabilities of several platforms. In the fourth quarter, we realize that [Technical Difficulty] increase in MAUs, and 131.6% year-over-year increase in paying users. Additionally, revenues in the Middle East grew by 87.4% year-over-year, driven by a 63% year-over-year increase in MAUs and 85.4% year-over-year increase in paying users. During the fourth quarter, in addition to fulfilling user's needs for current entertainment content, Bigo Live also augmented its user activity and engagement by continuously innovating its social interaction feature. For example, our newly released features enabled users to seamlessly move between single and multi-user group chat rooms, empowering ordinary users to easily integrate live streaming into their regular social interactions. As a result, on a sequential basis, our user base penetration rates increased by 10.9% for multi user video chat rooms, and 2.3% for multi user audio chat rooms. As we continue executing such product strategy, we're laying a solid foundation for our sustainable growth going forward. On the branch enhancements front, we hosted the second annual BIGO Awards Gala in January, which featured a variety of live performances, including fire dances, DJ sets and K-pop dances by top streamers from around the world. Although this year’s gala was held entirely online, due to travel and social gathering restrictions, BIGO’s influential brand attracted approximately 4 million views globally, and over 20 million viewer’s votes for their favorite performances. To further boost BIGO’s brand recognition, we placed billboards for award winning streamers at landmarks across 23 different countries, including NYC Times Square, Seoul’s Coex Convention Center, Istanbul’s Sophia tower and many others. [indiscernible] year-over-year to RMB 113 million. In addition, it's user base continue to expand rapidly in many regions with families renting up by 55.3% year-over-year in select countries and 233.9% year-over-year in the Middle East. While maintaining its rapid global user base expansion in the fourth quarter, Likee also made significant progress in manifestation, mainly through live streaming. Consequently, Likee’s revenue increased by 407.5% year-over-year and 41.4% quarter over quarter, largely driven by growth in developed worlds, and the Middle East. Revenue from developed markets grew by 299% year-over-year. While revenue from the Middle East, multiplied by 31 times year-over-year. To help Likee’s users, further enhance the efficiency, effectiveness and quality of their content production, we continue to improve the platform's video capturing and image enhancement tools in the quarter. Our upgrade of AI powered music recommendation features can automatically provide users with suitable background music options for their self-produced videos. As a result, the average daily number of video uploads, featuring our recommended soundtracks, increased by 300,000 in a quarter. Moreover by continuously optimizing our search engine algorithms, we were able to boost our user search satisfaction rate by 3% quarter-over-quarter. Okay. As a leading global short form video platform, we prioritize the quality and availability of content at the core engine to drive Likee sustainable growth. As such, we seek to attract top tier content creators. Optimize content recommendation algorithms, and we find our user experiences, continuously. In 2021, we plan to further localized, Likee's content ecosystem, and social community by reducing its entry barriers to content production, boosting its content creators, enthusiasm and productivity and empowering content creators in all aspects. With this social community DNA user interaction propensity, and accelerated monetization via live streaming, likely enables the talented creators to reach large audience, and gain more economic rewards, who in turn produce more quality content for Likee, thus forming a virtuous cycle. As a result, we believe that we are able to attract a broader range of content creators, further enrich our content offerings, and ultimately bring new users to the platform. As HAGO increase its quarterly prepaid user count by 121.2%, its revenue grew by 69.4% year-over-year. In line with our previous forecasts, HAGO achieved the first single breakeven month in the fourth quarter of 2020 and narrowed its quarterly loss as compared to the average of the first three quarters in 2020. Product-wise, we introduce a game feature called party, so that multiple users can play casual games and interact with one another through our audio chat rooms at the same time. Such updates enhance user interactions on the platform, as the user base penetration rate for our feature channels improved by 61% year-over-year to 41.9%. Summary, during the fourth quarter [Technical Difficulty] promising monetization program for several products. Going forward, we will upload our mission to connect people and we enrich their lives through video, expand our global footprint through localization and construct an increasingly diversified social [Technical Difficulty] Beyond expanding our existing business, we also stay attuned to new opportunities in the industrial AI internet and cross border e-commerce sectors. In addition, leveraging on our established technical expertise in real-time audio and video manufactures [Technical Difficulty] we have already made preliminary exploration in cloud-based enterprise services. Looking ahead, we will continue to explore new business development opportunities, and generate greater returns for long-term shareholders. Before I turn the call to our CFO, Bing Jin, I would like to take a moment to thanking for his years of dedication and contributions to JOYY. As previously disclosed in our SEC filing, Bing is pursuing a new job opportunity and will leave his position as the company's CFO at the end of April. On behalf of all of our colleagues here at JOYY, I wish him the best in his future endeavors. In the meantime, we have commenced a search process for new CFO. That concludes my prepared remarks. I will now turn the call to Bing for more detailed explanation of our quarterly financial results. It should be connection problem; I'll have the operator call me again. So, we will pause for seconds.
Operator: You may go ahead.
Bing Jin: Thanks. Thanks David. Hello everyone. As David noted, I will leave my current position as the company's CFO at the end of April to pursue a new job opportunity. I would like to start off by saying that it has been a true honor to serve as JOYY's CFO and grow together with the company over the past several years. I will always cherish this experience and would like to thank David and all of my colleagues here for their guidance, support, and friendship. Looking ahead, I firmly believe that this company remains well-positioned to continue developing its competitive advantage, increasing its share of global social entertainment market, and delivering outstanding results. Now, as JOYY's CFO, I will talk about the financial results. Please note that the financial information and non-GAAP financial information disclosed in our fourth quarter earnings press release is presented on a continuing operational basis unless otherwise specifically stated. After the deconsolidation of Huya, the company accounts for our investment in Huya as an equity method investment and applied the equity method accounting one quarter in the arrears to enable us to provide financial disclosures independent of the reporting schedule of Huya. Also at the company entered into definitive agreements with Baidu on November 16, 2020 pursuant to which, Baidu will acquire JOYY's domestic video-based and its entertainment live streaming business YY Live and the sale of YY Live was substantially completed on February 8, 2021. The historical financial results of YY Live are reflected in the company's consolidated financial statements as discontinued operations accordingly, starting from the fourth quarter of 2020. During the fourth quarter of 2020, we maintain our strong momentum and delivered robust financial and operating metrics. Our total net revenues for the fourth quarter increased by 77.5% year-over-year to RMB3.78 billion from RMB2.13 billion in the same period of 2019. In particular, our live streaming revenues for the fourth quarter increased by 93.3% year-over-year to RMB3.59 billion, driven by live streaming revenues growth on Bigo. Other revenues in the fourth quarter decreased by 30.5% to RMB189.6 million. Cost of revenues for the fourth quarter increased by 76.6% year-over-year to RMB2.67 billion. Revenue sharing fees and content costs, increased to RMB1.69 billion in the fourth quarter from RMB708.6 million in the same period of 2019, which was in line with the increase in live streaming revenues. Bandwidth costs decreased to RMB179.5 million from RMB221.8 million in the same period of 2019, primarily related to the company's improved efficiency and the termination of bandwidth usage from users in India after its measures to block certain Chinese mobile apps in late June 2020, partially offset by the continued user base expansion outside India. Gross profit increased by 79.6% year-over-year to RMB1.11 billion. Gross margin in the fourth quarter of 2020 improved to 29.3% from 29% in the same period of 2019. Operating expenses for the fourth quarter increased to RMB1.68 billion from RMB1.58 billion in the same period of 2019. Among the operating expenses, sales and marketing expenses increased to RMB973.8 million in the period from RMB782 million in the same period of 2019, primarily due to the company's increased efforts in sales and marketing activities in overseas markets. Our general and administrative expenses for the fourth quarter decreased to RMB236.3 million from RMB319.8 million in the same period of 2019, mostly due to decrease in provision for loss allowances of receivables. Our GAAP operating loss for the fourth quarter decreased to RMB557.6 million from RBM863.3 million in the same period of 2019. Operating loss margin for the fourth quarter was narrowed to 14.7%  [Technical Difficulty] Amortization of intangible assets from business acquisitions, as well as impairment of goodwill and investment and gain on disposal of subsidiaries and business decreased by 60.7% to RMB220.7 million, compared to RMB561.5 million in the same period of 2019. Non-GAAP operating loss margin for the fourth quarter was narrowed to 5.8% on – from 26.3% in the prior year period, notably Bigo has achieved a positive non-GAAP operating income for the second consecutive quarter of RMB49.2 million. non-GAAP operating margin improved to 1.5% from negative 11.3% in the prior period. GAAP net loss attributable to controlling interest of JOYY for the fourth quarter of 2020 was RMB791.9 million, compared to RMB816.6 million in the same period of 2019. Net loss margin was 20.9% in the fourth quarter of 2020, compared to 38.3% in the corresponding period of 2019. Non-GAAP net loss attributable to controlling interest and common shareholders of JOYY was RMB149.4 million from RMB455.7 million in the same period of 2019. Non-GAAP net loss margin was narrowed to 3.9% in the fourth quarter of 2020 from 21.4% in the same period of 2019. Diluted net loss per ADS, in the fourth quarter of 2020 was RMB10.07, compared to RMB10.43, in the same period of 2019. Non-GAAP diluted net loss per ADS was narrow to RMB1.86 from RMB5.7, in the same period of 2019. Now turning to our results for the full year of 2020, our total net revenues increased by 112.1% year-over-year to RMB13.23 billion, driven by the same practice that led to the quarterly increase. Our net loss attributable to controlling interest of JOYY for the full year of 2020 decreased by 79.7% to RMB105.1 million from RMB516.7 million in 2019. Our non-GAAP net loss attributable to controlling interest and common shareholders of JOYY for the full year of 2020 was RMB1.142 billion compared to RMB1.96 billion in 2019. [Technical Difficulty] compared to 31.5% in 2019. Diluted net loss per ADS for the full year 2020 narrowed by 71.6% year-over-year to RMB2.14 from RMB7.54 in 2019. And non-GAAP diluted net loss per ADS for the full year of 2020 was narrowed to RMB14.28 compared to RMB25.42 in 2019. In addition, in accordance with our quarterly dividend plan approved on August 11, 2020 and on November 16th, we will be distributing a dividend of US$0.51 per ADS for the fourth quarter of 2020, which is expected to be paid on April 30, 2021 to shareholders of record as of the close of business on April 19, 2021. Also, we would like to provide an update to our execution of the share repurchase program announced on May 2020, on which the company may repurchase up to US$20 million of this shares to August 2021. As of December 31, 2021, the company had repurchased approximately US$139.5 million of these shares. As mentioned, in David's speech, we will continue to invest in business development initiatives to further expand our global market reach, cultivate our highly engaged user community, and augments our high quality content offerings. We will also actively explore other ways to return value to our shareholders and maximize shareholder value, such as a potential dividend payout, or share buyback programs. For the first quarter of 2021, we expect our net revenue to be between US$509 million and US$605 million, representing a year-over-year increase between, 72.5% to 76.9%, excluding the revenue contribution from Huya and YY Live in the same period of last year.  We currently have limited visibility surrounding the COVID-19 epidemic's long-term impacts and geopolitical uncertainties in our business and the markets in which we operate. Therefore, this forecast only reflects our current and preliminary views on the market and operational conditions, which are subject to change.  That concludes our prepared remarks. Operator, we will now like to open up the call to questions. Thank you. 
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Also when asking your question, please state your question in Chinese first then immediately repeat your question in English. Thank you.  Our first question comes from Thomas Chong at Jefferies. Please go ahead.
Thomas Chong : [Foreign Language] Thanks management for taking my questions and congratulations on a strong set of results. My question is about Bigo Live, can management share about the paying ratio as well as the people at the moment? And with regard to our 2020 revenue growth, what’s the contribution coming from user paying ratio as well as our people? Thank you.
David Xueling Li: Thank you, Thomas. Let me address those questions. In terms of the current paying ratio ARPU of Bigo Live, let's talk about the paying ratio first. The paying ratio of Bigo Live is still lower than in China YY Live, but we have seen a good ramp up of the paying ratio for people, particular Bigo Live strategies penetrating the developed markets. Developed markets as revenue contribution to Bigo Live is over 43% already. So, as we had a couple more developed markets, the paying behavior, the paying capability of those developed markets users, obviously is much higher than the original emerging markets. So, we will continue to see a ramp up of the paying ratio, but it's still lower than in China at this stage. We see a good future potential. In terms of the ARPU, as we explained to the industry before and analysts before, the general ARPU of Bigo Live is around three times of YY Live. And as we penetrate to more developed markets, we will also see a future ramp up of the ARPU level for Bigo Live in general. In terms of the contribution for our revenue in 2020, as you can see we have achieved more than 110% year-on-year growth for revenue contribution. I will say, roughly, one-third is from the user expansion, meaning the MAU growth for Bigo Live, particularly driven by growth markets as I mentioned, and one-third for paying ratio expansion and also one-third for ARPU expansion. Thank you.
Thomas Chong : Thank you. 
Operator: Our next question comes from Alex Poon at Morgan Stanley. Please go ahead.
Alex Poon: My question is related to Likee, could management please share the user and revenue target in the next one to two years. And in terms of the user engagement revenue diversification, geographical distribution how is it different from Bigo Live? And in terms of user behavior, is there any notable difference between Likee and short video platforms in China? Thank you very much.
David Xueling Li: Hi. This is David. Let me answer your question. As I mentioned in the previous speech, Likee just started modernization recently and in the past three years of development, we have focused on user expansion and also community cultivation. I believe that in the long run, we expect some changes to Likee’s long term strategy in the following aspects, especially on in terms of – understanding of the competitive landscape, would like to prioritize key features of our Likee. First one is, the social community and user interaction. Second, it's our content creators. I believe that if we continue to cultivate our social community, improve user interaction and continue to empower our content creators in all aspects, we'll be able to achieve a differentiated competitive advantage against our competitors, especially, based on our understanding and our knowledge, we believe that a lot of our competitors are still having a very completely different ecosystem, whereby it's more like a media feature, whereby the KOLs are dominated platforms, while Likee is more content on -- it's more a community which emphasizes user interactions and also content creator focus. So I believe that on based on such a long-term strategy, we'd be able to have differentiated competitive advantage in the global industry and that would also help the company and Likee to achieve a long-term sustainable growth. Thank you.
Alex Poon: [Foreign Language]
Operator: Our next question comes from Yiwen Zhang at Citi. Please go ahead.
Yiwen Zhang: Thank you management for taking my question. So, my question is on the overseas live streaming. When entering into this market for five to six years, and when entered a different market in different time, can we discuss what stage of live streaming in each market primarily used also on America and Europe? Also, can you touch on any recent change that you're seeing in live streaming in that any overseas market? Thank you. 
David Xueling Li: [Foreign Language] This is David. Let me take your question. I'd love to clarify here is that, if you look at our quarterly over quarter growth rates for BIGO in RMB, you might consider growth rate relatively flat with minor decrease. But if you actually exclude the FX loss fluctuation and you look at it on a constant currency basis in terms of U.S. dollar, we actually accomplish a quarterly over quarter increase of 4% and year-over-year increase of 82%. So that actually proves our point that the overseas live streaming industry is actually growing at a very fast speed. In terms of, especially if you look at the scale of BIGO’s revenue, right now we have already surpassed the RMB 10 billion in terms of revenue for the full year, and the fact that we'll be able to still grow our revenue at such a rapid speed, at such scale, increase that, the potential of the overseas live streaming industry. And also on -- in the past, it was a tradition for the market to believe that the U.S. users does not actually have a habit of clipping on live streaming platforms, while actually in the past few years of business practice, we actually witness a very strong growth in the live streaming sector in the U.S. market. So it's not a China specific business model, it's already a well-established, a well-accepted business model to monetize your users. And we believe that it's actually a quite, not only mature but very user friendly business model in a way that it does not interrupt the users from enjoying the use of these applications and it does not interrupt the users user experience improvement while using their apps. So, it's actually a very good business model as compared to a lot of other monetization tools. So, if you look back, as we launch our audio live streaming and video live streaming back in 2010, I think that on – we've witnessed the growth process, the trajectory in the past 10 years. And we've seen that today it has come to a point in China that almost all internet companies, small and big, have all included live streaming, as a very essential and important or even main monetization tool. So I think that it will be the same for US and also the other overseas countries, especially in US for platforms such as YouTube, Instagram or Facebook. I think it's very likely that they will all kick-off monetization via live streaming soon. So it's just a matter of time, and the difference in terms of, on the stage of development between the PRC live streaming sector and the overseas sector. We believe that on such involvement will continue to drive the market potential of the overseas live streaming sector to even larger, and also, everyone will be able to contribute to the whole ecosystem. In China, we have seen that, even with the major, the big conglomerates entering into live streaming sector, it actually does not affect those existing players, market share, or their revenue scale. It's because, what we saw was that the market begin to recognize or increasingly recognize the business model and the scale of the total market begin to increase to a new level. And I think that's on – and also on for the applications, it was previously mainly focus on entertainment live streaming, and then throughout the development in several years, we began to see multiple applications via live streaming in areas such as education, e-commerce, and also other abundant applications. So I think that such trend is likely to replicate in the overseas sector, and we believe that we'd be able to see the potential of the whole market, and be able to continue to capture such market potential. Thank you.
Operator: Our next question comes from Lei Zhang of Bank of America. Please go ahead.
Lei Zhang: Thanks management for taking my question. Can you give us more color on the use of cash? And does that imply for Bigo oversea markets then how should we look at emerging trends for Bigo in 2021? Thanks.
Bing Jin: Thanks, Zhang Lei. Let me address those two questions. First is regarding the use of proceeds. We had a good cash balance right now and obviously after Baidu's acquisition of Wireless [ph] is completely down we have additional use of coming in, and then we will have several matters of utilize this cash. One is, obviously, we still need to organic grow our business, particularly given the global overseas market is much bigger potential, so we will continue to invest in terms of sales marketing, R&D, artificial intelligence, et cetera. Secondly, we had a $1 billion convertible bond outstanding. So, at the right time we will pay back that convertible bond, so that's another $1 billion cash usage. Typically, as we mentioned in the prepared remarks, we are thinking about a potential dividend or additional share buyback programs, albeit depending on the share price of returning more values to shareholders, so we'll keep flexible in terms of the cash usage. We will not do big scale M&A at this stage. So in general we will make sure that we generate good value for the shareholders. Certainly, in terms of investment for Bigo, there are two parts, one, is Bigo Live. Bigo Live is already very profitable over 20% margin profile. So I think the margin of Bigo Live will continue to improve given that we will further enhance the overseas payment channel efficiency, and then with the rapid revenue growth scale, we will achieve more operating leverage on various expense and cost items. For Likee, the strategy going forward will be a more balanced approach. We will pay more attention to the ROI of the spending and focus on the key areas where Likee has very strong presence, and we will find a way of further monetizing the Likee's user base. So as a result, I think the investment of Likee will also be further, I will say monitored according to the ROI return. So in general, if you combine these two together, the non-GAAP net margin for Bigo will obviously be positive. As we said, we have already achieved breakeven for two consecutive quarters. If we look at the full year 2021, I think we will be able to achieve a kind of low single-digit margin profile for Bigo as a whole. Hopefully that answers your question.
Lei Zhang: Thank you. Very clear.
Operator: Thank you. That's all the time we have for questions. I will hand back to management for closing remarks.
Jane Xie: Thank you for joining our call. We look forward to speaking with everyone next quarter.
Bing Jin: Thank you, everyone.
Ting Li: Thank you. Bye, bye.